Operator: Good morning, ladies and gentlemen, and welcome to the Siemens Energy’s Q3 Fiscal Year 2025 Analyst Call. As a reminder, this call is being recorded. Before we begin, I would like to draw your attention to the safe harbor statement on Page 2 of the Siemens Energy presentation. This conference call may include forward-looking statements. These statements are based on the company’s current expectations and certain assumptions and are therefore subject to certain risks and uncertainties. At this time, I would like to turn the call over to your host today, Mr. Tobias Hang. Please go ahead, sir.
Tobias Hang: Good morning, and a warm welcome to the Siemens Energy Q3 Analyst Call. My name is Tobias Hang, and I'm very excited to host this analyst call for the first time in my role as the Head of Investor Relations. As always, all documents were released at 7:00 a.m. on our website. Our President and CEO, Christian Bruch; and our CFO, Maria Ferraro, are here with me. Christian and Maria will take you through the major developments during the third quarter of fiscal year 2025. This will take approximately [ 30 ] minutes. Thereafter, Christian and Maria are available to answer your questions. For the entire conference call, we have allotted 1 hour. So from here, Christian, over to you.
Christian Bruch: Thank you very much, Tobias, and good morning, everyone, also from my side. Thank you very much for joining us today. The third quarter proved to be another successful period for our company, further demonstrating our path to profitable growth. In addition to our strong financial performance, we have accomplished important milestones to generate shareholder value in the medium to long term and which I’ll address later. Let me mention one accomplishment right at the start as we just released the information a couple of days ago. After exiting the Bund guarantees, the Bund now waived the condition that restricted us from paying a dividend for the fiscal year 2025. So we are now in the position to pay a dividend for 2025 if the Annual General Meeting in February 2026 approves this. This is an important milestone achieved. And I would like to thank all employees at Siemens Energy for their hard work and commitment, which has contributed to our strong performance. This quarter’s most notable achievement was a record-breaking order intake of EUR 16.6 billion. This reflects an increase of almost 65% in comparison to last year, supported by 2 large offshore orders at Siemens Gamesa and strong orders across all businesses, resulting in a book-to-bill ratio of 1.7. Our order backlog has reached a new record high of EUR 136 billion. This was achieved despite negative currency translation effects of almost EUR 4 billion. Revenue demonstrated consistent growth, reaching EUR 9.7 billion in the quarter, and this reflects a 13.5 percentage increase when compared to the same period in the previous year. Our profit before special items increased to EUR 497 million, driven by a strong performance from Grid Technologies, Gas Services and Transformation of Industry. Overall, Siemens Energy’s profit margin was 5.1% for the quarter, which is an improvement of 450 basis points year-over-year. Our cash flow stood at EUR 419 million in quarter 3, which is lower than in the previous year, however, well in line with our expectations and the fiscal year 2025 guidance. As everybody else in the industry, we experienced macroeconomic uncertainties during the quarter. These included the U.S. tariff discussion and geopolitical tensions in different regions. Despite these challenges, we were able to successfully manage operations. Notwithstanding the prevailing volatility in the market environment, the underlying demand and pricing trends remain favorable. In quarter 3, we recorded an impact of around EUR 100 million from tariffs, which is broadly in line with our previous statement and mainly driven by onetime effects related to long-term service agreements. The EU-U.S. agreement on 15% tariffs effective late July is higher compared to our original assumption of 10%. Thus, it will have an additional impact of up to a mid-double-digit million-euro amount in quarter 4. Our business has delivered another strong quarter, continuing the solid performance of this fiscal year. This puts us on track to meet the upgraded guidance issued in the second quarter, and we are currently trending towards the upper end of the range. As previously communicated, a comprehensive update regarding our midterm targets will be provided with the full year financial results on November 14. At our Capital Market Day, which is scheduled for November 19 and 20 in Charlotte, North Carolina, we will present an in-depth overview of our business operations, their strategic plans for achieving profitable growth and generating attractive shareholder returns. Allow me to provide you with a brief overview of the factors that contributed to our record order intake in this quarter. The demand for electricity is continuously increasing, and it is essential to ensure a reliable and secure supply. From a global standpoint, the U.S. experienced the most significant surge in orders, accounting for nearly 35% of all orders in quarter 3. This represents a threefold increase compared to the previous year with a total value of around EUR 6 billion. Notably, demand remained strong despite the tariff uncertainties, underscoring the current resilience of the market. However, despite our success in the U.S., we were able to secure a globally balanced order book. At Siemens Gamesa, we have received 2 major orders in Poland for offshore wind projects, both valued at over EUR 1.5 billion each. And these orders underline our excellent position in offshore wind. Gas Services set a new order record in the third quarter with a quantity of 86 gas turbines. This encompasses the entire portfolio of frame sizes ranging from 15 megawatts to 500 megawatts. We have booked around 9 gigawatts of orders, which were mainly converted from our reservation agreements. Of these, 3 gigawatts were related to data centers. Growth was also driven by orders from the U.S., which accounted for nearly 50% of the total gas turbine orders. With regard to the applications, around 60% of the orders were related to our core business, including coal and oil to gas shift, [ bigger ] units and generally higher energy demand. However, 40% of these orders were driven by new applications, including data centers, floating LNG and power ship applications. This has also resulted in significant growth in medium-sized gas turbines. Year-to-date, sales for those have already exceeded the total sales from the previous 2 years combined. At the end of the third quarter, we had 21 gigawatts of reservations agreements on hand. And considering the order backlog of 37 gigawatts, we have now a total commitments of 58 gigawatts. The favorable pricing trend continued in the third quarter across all frames. We anticipate that this trend will be maintained for the foreseeable future. Also, Grid Technologies continued their successful development in the last quarter. As indicated already in the last quarter, we see in addition to HVDC and large transformer projects, the demand for grid stabilization equipment on the rise to cope with the increased volatility requirements for the grid infrastructure. In the third quarter, we observed for Grid Technologies an exceptional global market demand for our product business, particular for power transformers. Also here, it was supported by a strong order intake in the U.S. Our previously announced capacity expansions are therefore required to meet the demand for this market growth. At the same time, we are focusing on productivity increases to optimize capacities and reduce lead times. In our Solutions business, we benefit from our long-term relationships with our customers, especially in Europe, where we see the demand continuing. We were nominated preferred supplier for large – 2 large HVDC projects in the U.K. by National Grid and Scottish Power. In the U.S., we were awarded an HVDC project, which constituted our largest order for grid technologies in this quarter. In Germany, our grid stabilization equipment FACTS has been recognized with an award for a significant bundle of 3 STATCOM stations. Particularly in North America, we were able to achieve higher pricing by offering competitive lead times to our customers. So far, the project pipeline has remained robust despite tariff uncertainties. In Transformation of Industry, the demand came mainly from Germany, Northern Europe and the Asia, Australia region. The order growth can mainly be attributed to electrification, automation and digitalization, but also industrial steam and generators. Our compression business maintained stable pricing despite macroeconomic uncertainty due to tariffs and the oil price volatility. We still see underlying long-term market trends remaining intact. We are committed to continuous improvement within our company, and I’m proud to share with you some of the milestones we have completed in this quarter. Let me first start with our onshore wind business. We have successfully received the first order for the revised Our compression business maintained stable pricing despite macroeconomic uncertainty due to tariffs and the oil price volatility. We still see underlying long-term market trends remaining intact. We are committed to continuous improvement within our company, and I’m proud to share with you some of the milestones we have completed in this quarter. Let me first start with our onshore wind business. We have successfully received the first order for the revised 4.X wind turbine. And as previously stated, we focus here primarily on the Southern European market. Siemens Gamesa will supply 8 turbines for the Leabratha wind farm in Spain Basque country, and this project represents the first new wind farm development in the Basque country for 2 decades. Siemens Gamesa also released the first tranche of the revised 5.X turbine for sale. This is an important step for our onshore business on the road back to a regular presence in our key markets. To ensure product quality and strong turbine performance, we roughly revised the machine architecture, main components and production steps. During the conditional market launch, we will continue to conduct a prototype testing to validate the positive technical assessments obtained to date. Parallel to the technical evaluation, we will gradually expand the planned production volume based on the validation results. As I previously indicated, our substantial offshore orders this quarter have further increased our backlog. Consequently, we are continuously working to strengthen the resilience of our supply chain. We have now signed a memorandum of understanding with TDK to source rare earth magnets from Japan and with this, build an alternative of supply from China. To address the significant increase in demand for power transformers, KONCAR and Siemens Energy are investing approximately EUR 260 million in expanding their large power transformer factory in Jankomir, Zagreb. The construction is scheduled to begin in 2026. The new investment will more than double the capacity by 2031 from the original capacity in 2022. Maximizing profitability remains a primary objective for us. In the current market environment, focusing on pricing opportunities remains key. At the same time, it is important to keep the focus on project excellence and cost consciousness. I’m proud how our teams are executing the demanding backlog and leverage the improved backlog margins to significantly drive the margin profile in this quarter. In the second quarter, we announced our partnership with Rolls-Royce on SMRs, which entails the exclusive provision of steam turbines, generators and ancillary systems for small modular reactors. This partnership is already yielding initial results as Rolls-Royce SMR has been selected by Great British Nuclear to construct 3 SMRs in the U.K. and signed an early works agreement in the Czech Republic for potential small modular reactors at the Temelin nuclear power plant. In this dynamic market environment, small bolt-on acquisitions are one lever to lay the foundation for additional growth. We recently acquired the remaining 50% stake in RWG, a company that provides maintenance, repair and overhaul services for industrial aeroderivative gas generators and power turbines. It is a strategic acquisition to strengthen our service capabilities for the growing aeroderivative market segment. In addition, we have acquired a transformer factory in Italy, and this facility is used as a feeder plant for medium power transformers for the Trento and [ Nönbeck ] plants. I don’t want to spend too much time on our strong balance sheet as Maria will discuss our last quarter’s achievement in detail later. The most notable milestone, as mentioned at the beginning of this quarter was the exit from the Bund guarantees, which will enable us to distribute returns to our shareholders in the future and now even already for fiscal year 2025. Capital allocation will be one of the primary topics addressed at our Capital Markets Day event in November, where we will present a comprehensive plan outlining how shareholders will participate in our future success. And with this, let me hand over to Maria.
Maria Ferraro: Thank you, Christian. Good morning, everyone. A very warm welcome from my side. As always, I'm pleased to share with you our quarterly results. Before I go into the performance of the business areas, let's start with a quick overview of the Q3 fiscal year 2025 at the Siemens Energy Group level. As Christian already mentioned, we had a record order intake and strong results this quarter, which puts us on track to meet the raised guidance, and we are currently trending towards the upper end of the range there. Also of note, due to the strength of the euro, we had some headwinds from currency translation. Therefore, I do want to point out that the spread between nominal and comparable growth for orders is 430 bps this quarter and for revenue is 270 bps in the third quarter, again, a nominal impact on profit because largely this is margin neutral. Looking at orders, again, we reached an all-time high this quarter since the spin with EUR 16.6 billion. And this is the continuing strong demand, which increased the orders by almost 65% compared to prior year. The improvement was across the board, but primarily driven by an increase at Siemens Gamesa, where we booked 2 offshore orders each with more than EUR 1.5 billion. On a geographic basis, as Christian showed, the growth was very broad-based. All reporting regions recorded sharp increases with a remarkable performance in the U.S. The overall improvement in orders was driven by a significant increase in the new unit business, growing with 137%. Looking at book-to-bill, 1.7, really driving the order book again to a record high of EUR 136 billion. As I just mentioned, this was partially held back by negative currency translation effects of almost EUR 4 billion this quarter. I'll review the backlog just in a moment. Now moving on to revenue, EUR 9.7 billion, up by 13.5% on a comparable basis. Here, the improvement, very strong growth, driven by GT by 26% and GS by 17%, each again growing on a comparable basis. Revenue, therefore, grew significantly and significantly in new unit at plus 21% comparable and also in service at 6% comparable. Profit before special items increased by roughly 10x year-over-year with all segments improving sharply and Siemens Gamesa as expected. Profit before special items, therefore, was at EUR 497 million. This is a 5.1% margin and the profit increase here was mainly due to increased volume and corresponding fixed cost absorption effects. Also, we continue to execute high-margin projects driven by better pricing and of course, also never to forget our strong service contribution of 33% this quarter. Therefore, we were able to compensate the majority of the impact resulting from tariffs, which, as mentioned already, amounted to around EUR 100 million in Q3. And this is broadly in line with our Q2 statement and mainly driven by onetime cumulative catch effects related to our long-term service agreements. Now looking at special items. As expected, the demerger of Siemens Energy India Limited led to an effect of roughly positive EUR 0.5 billion or EUR 0.5 billion, resulting in a profit overall of EUR 956 million for this quarter. Just as a refresher on June 9, Siemens Energy India Limited was successfully listed. As previously stated, our target is to be the major shareholder in fiscal year '28. We will achieve this by swapping essentially the 6% ownership of Siemens India Limited and therefore, purchasing the remainder from Siemens AG. The required cash out fluctuates with the relative share price development of both entities and of course, the share price of Siemens Energy India Limited in fiscal year '28. Again, this is taken into consideration in our business plans. Now looking at net income. This came in at positive EUR 697 million, which, of course, is a tremendous increase quarter-over-quarter. Then free cash flow pretax, this stood at positive EUR 419 million. There is a decrease there compared to previous year's quarter. This is mainly driven by changes in operating working capital and some timing shifts as well as significant payments received last year, for example, from Siemens Gamesa, which was not the case in this quarter this year. I will talk in more detail about the drivers of free cash flow in just a moment. Now let's look at our order backlog this quarter. So again, as I mentioned, new high of EUR 136 billion, giving us transparency well into the future. Now I'm happy to report that, of course, our revenue coverage has increased and stands at 95%. And already for fiscal year '26, our revenue coverage is at almost 80%, again, with increasing resilience due to broad-based demand, and we also see that the backlog project margin development continues to be positive year-to-date. Now let's talk a little more in detail about free cash flow and the drivers of free cash flow. Looking at Q3, we, as I mentioned, have a free cash flow pretax of EUR 419 million, and this is about EUR 300 million lower than in Q3 of prior year. This is mainly due to, as I mentioned before, some timing shifts to Q4, changes in our net operating net working capital. This is driven mainly by a reduction in trade payables and also an increase in accounts receivable as well as a lower increase in contract liabilities. And again, additionally, to note the effect in special items from the demerger of Siemens Energy India Limited leads to an adjustment in the same amount in other items, of course, as this is a noncash impact item. Both of these effects outweigh the significantly improved net income of approximately EUR 700 million. Of course, also in Q3, I think it's very important, we have not seen a change in customer payment behavior, and we still see a continuation of incoming reservation fees. I'd also like to give you an update on where we stand on the Siemens Gamesa quality cash outs. This amounted to around EUR 120 million in the quarter. As a reminder, for the full year, we had indicated a mid-triple-digit euro amount, million amount. So therefore, this is in line with our expectations. Also an update when it comes to CapEx. We spent just over EUR 450 million in Q3, almost EUR 0.5 billion. And this is to fuel our future growth mainly for expansion and capacity extensions. For example, the ramp-up of our SG14, our offshore business as well as investments in expansion capacity for Gas Services and Grid Technologies. With regards to the CapEx outlook, as you know, we provided this in prior year's Q4 fiscal year '24 of around EUR 2 billion. Currently, we see some delays or shifts into fiscal year '24 and therefore, will remain slightly, slightly below the EUR 2 billion, but we still expect a significant amount for Q4 of this fiscal year to come in and then in total, be below -- just slightly below the EUR 2 billion. Now looking at cash, our cash bridge and net cash. On the right-hand side of the slide, overall, we have EUR 8.5 billion in cash and cash equivalents at the end of the quarter. We have a slight decline from the previous quarter. Again, looking at perhaps 3 things here I'd like to point out, which is we do have negative FX translation effects of roughly EUR 200 million. We also have the regular employee share buyback program of EUR 170 million. This was conducted in Q3 of this year. In addition, we had cash taxes. We had to pay cash taxes of just over EUR 150 million as well as interest payments roughly the same amount. We have here, as you can see, slightly reduced financial debt with EUR 3.7 billion, of which EUR 2.2 billion is long term. Considering again, our pension provisions stable at EUR 401 million, then this brings us to a net cash position of EUR 4.4 billion at the end of June. This is compared to an adjusted net cash position of EUR 1.7 billion a year ago. With this, we continue to have a strong balance sheet, commensurate with an investment-grade profile, which is also reflected in our external ratings. Perfect segue, some important milestones in the third quarter of this fiscal year 2025. On May 26, 2025, S&P revised their outlook to positive from stable and affirmed the BBB- rating for Siemens Energy. And on June 17, 2025, we received an investment-grade rating of Baaa2 with a positive outlook in its inaugural rating from Moody's. On June 5, we announced the planned replacement of the EUR 11 billion facility backed by the German federal government and the additional EUR 1 billion guarantee backed by Siemens AG. The new EUR 9 billion syndicated facility, together with existing guarantee lines will fully support large-scale project business and related guaranteed demands for the years to come. Very pleased with that. Additionally, as mentioned already, the termination of the government's counter guarantee relieves us from the annual financial burden. I mean, this cost us approximately EUR 100 million plus from fiscal year '26 onward. And in addition, it lifts the restriction on bonus payments to the executive members 2026 onwards. As Christian already mentioned just a few days ago, very pleased with this, the Bund waived the restriction for dividend payments already for fiscal year 2025. We are very pleased with this decision as it gives us the ability to pay a dividend to our shareholders earlier than expected. This is the next progressive step and an important milestone for us. And now we revert to the relevant governance process and appropriate steps to approve a potential dividend payout for fiscal year 2025. As a reminder, Siemens Energy has a dividend policy to distribute 40% to 60% of net income attributable to shareholders of Siemens Energy. All right. So this, again, is a good segue, and Christian already mentioned it, we received very often from investors in the last weeks regarding capital allocation and structure. And maybe just to reiterate, as always stated, we are committed to a conservative capital structure. This prudent financial policy is essential to navigate our industry cycles, project volatility, managing our working capital and, of course, to meet our future financial commitments, all while preserving the flexibility, as you see this year and in years to come to invest in the growth of our business. We will use the time now over the next couple of months to work on our midterm business plan, review investments such as CapEx, R&D requirements for growth and analyze our capital structure accordingly. What we do know is we will continue and will maintain our dividend policy. So please stay tuned for this and at our Q4 call, respectively. And as you heard, Christian invited you all to our Capital Market Day on November 20 in Charlotte, North Carolina, U.S. Just also lastly, as a reminder, our mandatory convertible bond is scheduled to mature this year on September 14. Given the current share price, we do expect this to trigger the minimum conversion ratio, which will result in the issuance of approximately 62 million new shares, which has been also accounted for. So now let's take a look at the quarterly financial performances of our business areas, and let's start with Gas Services. So overall, a very strong quarter for our Gas Services business. Orders of EUR 6.2 billion, up more than 20% from prior year quarter, and this is driven by a very strong new unit business, which was up 144% compared to prior year. Book-to-bill ratio just shy of 2 at 1.98 and backlog record of EUR 53 billion. Again, Q3 was characterized by a very strong gas market for gas turbines greater than 10 megawatts with the largest markets being in the Middle East and in the U.S. In Q3, we booked a record of 86 gas turbines for power generation in oil and gas, 18 of those were large gas turbines. Our gas turbines greater than 10 megawatt market share for power generation stood at 37% and large gas turbines, therefore, greater than 100 megawatts at 39% Revenue for Gas Services for Q3 stood at EUR 3.1 billion. This is just shy of a 17% increase on a comparable basis. New units showed significant growth of 47% and service business of 14% growth. Looking at profit before special items, for GS, EUR 406 million. This more than doubled year-over-year, resulting in a margin of 13%. This improvement of over 600 basis points was driven by better margin quality of the processed order backlog and of course, underlying with better pricing. In Q4, I have to say this, a gentle reminder of the typical seasonality that we have in our Gas Services business and the mix effects. But overall, a very strong Q3 for our Gas Services business. So moving on to Grid Technologies. Yet again, Grid Technologies delivered significant improvements in order intake, revenue and profitability. Orders were at EUR 4.2 billion, up 24% year-over-year, driven by strong broad-based demand, specifically from the U.S. and [Technical Difficulty] product business. Book-to-bill ratio for Grid Technologies was 1.5 and a backlog of EUR 38 billion. Revenue for Q3 grew by just shy of 26% on a comparable basis to EUR 2.8 billion. Revenue here increased substantially. This was driven by increases in both product and the solutions business. Profit before special items came in at EUR 448 million, again, almost doubled compared to Q3 of prior year. This resulted in a margin of 15.9% Here, the improvement is driven by continued strong underlying operational performance, higher volumes, including corresponding digression effects and operational improvements, coupled with the higher margin of the processed order backlog. Again, a very strong quarter for our GT business. Moving on to Transformation of Industry. Here, we see another solid quarter for TI, especially with regards to profitability. For Q3, we see orders of EUR 1.4 billion. This is an increase of 23.4% versus prior year on a comparable basis and driven by new unit orders with an increase of 35%. Book-to-bill ratio was 1, and the backlog at the end of the quarter amounted to EUR 8 billion. Revenue grew by 6.1% across all businesses with a strong growth in service and new units as well. The biggest contributor to the revenue growth in Q3 was our compression business with over 11% growth comparable. Looking at profit before special items, EUR 157 million. This is an increase of roughly 50% compared to the previous year quarter. This is a margin, like I said, of 11.5% and the improvement here of 370 basis points was mainly due to sustained volume growth, particularly in the service business and improved margin quality of the process order backlog. Biggest contributor to the improvement is our industrial steam turbine business with plus 350 basis points versus last year and compression with 530 basis points. So very well done to the TI team. Moving on to Siemens Gamesa. Extremely strong order intake this quarter and all other KPIs in line with expectations. Orders here came in just shy of EUR 5 billion, which is roughly 7x prior year's quarter. As mentioned a few times, we have our 2 large orders in Poland and offshore were booked this quarter. Onshore orders continue to be affected by temporary interruption of sales activities. However, as Christian already mentioned, the first 4.X order was booked in Spain. Book-to-bill came in at a strong 1.95, and our order backlog in Siemens Gamesa stood at EUR 38 billion. Revenue for the quarter was EUR 2.5 billion on essentially the comparable level of prior year. Offshore business, including service, almost doubled year-over-year, but could not fully offset the expected decline in the onshore business due to the sales stop. Profit before special items came in at a negative EUR 438 million. This is on par or -- nearly on par of prior year's level. As we've always indicated, Siemens Gamesa remains in a transformation or restructuring mode with puts and takes remaining somewhat volatile throughout the quarters. For example, the first half of this fiscal year was trending positively versus prior year. And in addition, an underlying operational improvement in Q3 was offset by mainly 2 effects. Number one, tariffs. They had an impact here of a mid-double-digit amount, which accounts for almost half of the impact of Siemens Energy so far. Secondly, as per usual, we had the annual regular update of the statistical models, and this is for the evaluation of the entire wind turbine fleet of over 100 gigawatts or approximately 100 gigawatts of maintained fleet. And this regular update is with respect to failure rates and truing up and looking at cost assumptions. This had also high double-digit impact, but again, was well within our expectations. Also something to note that the 4.X and 5.X provisions remained basically stable. So overall, a very strong or as expected quarter for all of our businesses. So now moving on to the next slide, please, looking at our financial outlook for fiscal year '25. As indicated, the outlook for this year is reaffirmed, trending towards the upper end of the guided ranges. And we are -- for SE overall, we continue to expect 13% to 15% comparable revenue growth, profit margin between 4 special items between 4% to 6%. Again, this includes the already mentioned direct impact from tariffs after mitigation measures of approximately or around EUR 100 million. This is stemming from global impact of tariffs, also including China and specific raw material tariffs. Based on the recent EU-U.S. agreement of 15 percentage points -- 15% excuse me, for tariffs effective late July, we do expect a further negative profit impact of up to mid-double-digit euro millions in Q4, and this is also embedded in our guidance. Net income of up to EUR 1 billion, excluding the positive special item from the demerger as we excluded that from the onset of the year, as we know today, that is approximately EUR 0.5 billion. Free cash flow still confirmed around EUR 4 billion. And when you look at the assumptions per business area, the same applies for the Siemens Energy Group, where we reaffirm our assumptions, which we have raised already in the second quarter with a tendency toward the upper end of the guided ranges. For Siemens Gamesa, we stick to our commitment to around the EUR 1.3 billion loss. And lastly, again, an update of the midterm targets will be provided with the full year results in November and further elaborated at the Capital Markets Day shortly thereafter. With this, this concludes my part, and I shift right back to you, Christian. Thank you very much for your attention.
Christian Bruch: Thank you very much, Maria. As usual, I will conclude the presentation with a summary of the key messages before we proceed to the question-and-answer session. First, our good operational performance continued as expected, so that we reaffirm the raised outlook issued in the second quarter with the tendency towards the upper end of the guided ranges. We will provide an update on our midterm guidance in November. Secondly, despite the macroeconomic uncertainty, the demand for our products, solutions and services remains strong, resulting in a record order intake. We anticipate that demand will remain strong in the near future. And next, we continue to invest in capacities, innovation and partnerships. These investments will strengthen our operations and portfolio preparing us for future profitable growth. And finally, our stronger performance is acknowledged by the rating agencies. As a result, we could exit the Bund guarantees in an early manner and can even pay our dividend for fiscal year 2025. I would once again like to mention at the Capital Markets Day in November, we really, really look forward to welcome you there and hope you can make it. And hopefully, many of you in person in Charlotte, it will still be definitely an exciting event. So if you have not registered yet, please do so. And for this, now let me hand over to Tobias for questions and answers.
Tobias Hang: Thanks a lot, Maria. Thanks a lot, Christian. [Operator Instructions] As I already see that there are quite a lot of questions in queue. I would ask you to limit your questions, please, to one question per person. And the first 3 questions will be coming first from Sebastian Growe, BNP Paribas Exane, Alex Jones, Bank of America; and Akash Gupta from JPMorgan.
Sebastian Growe: It must be around Gas Services and the capacity planning and visibility. You said on the last call in quarter 2 that you were covered for '28 and with the backlog now at 37 gigawatts, you must apparently start taking orders for '29. So as a backdrop in your positive comments on the press call earlier today that the margin quality continues to expand in the backlog. My questions are, to what extent can you continue to benefit from better pricing, thanks to the attractive delivery times that you offer? And how does the strong demand environment impact your capacity planning as the base demand appears to clearly outpace the earlier 70 gigawatts market focus that you shared with us?
Christian Bruch: Sebastian, I hope I have understood your questions correctly because the quality was very poor. But if I understood it, it's based on really the quality on the margins on the gas side and also the capacity implied. First of all, I mean, as you -- if I heard you correctly indicated, very much linked also to timely delivery. And obviously, we are able to do it. We see it -- the big element for us is also we see it across the frames. I think that is the one key message I want you to take home. And we have been very successful to balance the demand over the different frames. We see pricing trends also in that regard, relatively intact in terms of continue also going forward to help to drive the backlog margin, but it's obviously tapering off at one point in time, that's very clear. In terms of capacity expansion, as you know, we are expanding both the midsize and the large size. The midsize kick in '26 and the large gas turbines kick in '27 with the additional volume. So if you look on next year, roughly, roughly, we are looking on a flight level capacity around the 20 giga and then obviously further increasing in 2027.
Tobias Hang: Thanks a lot. The next question comes from Alex Jones from Bank of America.
Alexander Jones: Can I zoom in on Grid Tech a little bit? A little bit. Sequentially, orders are a little bit weaker, although I understand that they're lumpy. But one of your peers has already talked about weaker momentum in European HVDC projects due to affordability concerns. So could you indicate whether you've seen anything similar in that regard in your conversations with customers and more broadly, whether the sort of strong momentum in Grid Tech demand continues into Q4 and 2026 in your view?
Christian Bruch: Yes. Thank you very much for the question. Obviously, and if you look also on our order intake, this was very much driven by transformer products. And we also expect a good order intake also in the coming quarter on the larger projects, HVDC solutions type of piece. But what you have to be always be aware, that's a large project business, and it comes a bit more bumpy in terms of decision-making of customers. And absolutely. Cost in -- investment into the grid infrastructure and cost of the grid infrastructure are a concern to customers, and we work very closely with our customers to help really to improve this cost level. Despite that, I see this continuing demand for HVDC projects, and this is why also the 2 projects mentioned in the U.K., we see additional projects in Europe, which could very well land in quarter 4, but you know it's always as it's a project business, they can slip a month or 2, but the discussions are ongoing. So there is an underlying need, which we see continuing. But very clearly also in terms of the pricing, and as I said before, it has to normalize a bit, and we are working closely to find other ways to improve the cost base for the customers like standardization, other setups, and we will continue to drive it. But fundamentally, we see the demand continuing.
Tobias Hang: So next question goes to Akash Gupta from JPMorgan.
Akash Gupta: My question is on capital allocation. I appreciate you were going to give us more details at the Capital Markets Day. But just looking at where we stand right now on the balance sheet, you got EUR 4.4 billion of net cash, but then you're sitting on EUR 17 billion of net contract liability, which is up from EUR 14.7 billion at the end of last year. You still have EUR 4 billion roughly potential outflows in Siemens India transaction, assuming spot prices. So my question is for Maria. Like we do hear from investors who hope for share buyback maybe just wanted to ask at the high-level thoughts you can share on prospects of share buyback in your capital allocation policy.
Maria Ferraro: Thanks, Akash, and thank you for outlining the balance sheet movements. You're absolutely correct. Of course, in line with the demand as we see for our orders, which has, as you know, a direct impact on our contract liabilities. With respect to our short-term priority, maybe to give a bit of color, we're in a very solid net cash position, and we would like and we would have that net cash position maintained. And yes, in the midterm, we see that -- and we will see that the strong annual cash flow does look at or offer opportunities, and that's exactly what I stated earlier that those are the opportunities that we're looking at in line with our new business plan, in line with things like a book-to-bill ratio greater than 1 continuing and that order demand continuing, and this is exactly what we'll put together and put some color around that for you in Q4, but even more so at the Capital Markets Day. Hopefully, that gives you a bit more color, Akash. I know you really want to know, but we will provide those details in November.
Tobias Hang: So the next 3 questions go to Max Yates from Morgan Stanley, Ajay Patel from Goldman Sachs and Gael de-Bray from Deutsche Bank.
Max R. Yates: Maybe if I could ask a question on the wind business. So maybe sort of 2 parts to it. I guess, to get to the EUR 1.3 billion guidance, I guess, for this year, you need to get to sort of, I think, EUR 239 million loss in Q4. I understand the kind of EUR 100 million provision will drop out. But is there any other kind of levers to give us confidence on that rate of improvement? And then I guess when we think about next year, is there any way when we think about kind of the trajectory from a EUR 1.3 billion loss to breakeven, we can sort of think about buckets of improvement. Like when we think about the offshore ramp when we think about the sort of cost cutting in the 4.X and 5.X and then we think about the improvements in the margin -- improvements in revenue margins as some of the lower-margin stuff drops out. How do we sort of separate that to maybe give us a bit more visibility where possible around that sort of what is now quite a big jump from EUR 1.3 billion to breakeven?
Maria Ferraro: So Christian, you can take the overall buckets of improvement. I will talk about this year.
Christian Bruch: Obviously, I mean, you mentioned the levers by and large, and this is still consistent with what we said before. There is a substantial lever coming from the offshore productivity improvement. And we see it really continuing in terms of going up in productivity. It's mainly the Mark 6 delivery now, and this is ongoing. This will be an instrumental lever for us also next year. Obviously, the team is driving also the improvement in service onshore, which will be instrumental to get it really to a profitable business that was heavily impacted by the 4.X and 5.X elements. It is currently the target that we are deploying until the end of '26 or let's say, most of the measures for the 4.X and until the end of '27 most of the measures for the 5.X. And that obviously also should impact then afterwards the profitability on the service side. And the other thing, as I said it before, one thing which we will need to continue to look into going forward for '26 is additional cost measures seeing that the revenue in onshore new units is lower than we anticipated. The team is continuously working on this to ensure that we can really bridge this EUR 1.3 billion to a breakeven. And -- but this is mainly really the key levers on top of it at the moment really. The management has a very, very rigorous focus on cost left, right and center. This is not only expense but also includes very diligent CapEx deployment, also seeing the outlook into the market. But this is mainly the levers, Max.
Maria Ferraro: Thanks, Max. And also for this year, you're fully right, looking at the Q4 because, of course, we've reconfirmed the around EUR 1.3 billion. So that's exactly what we're aiming for. And as Christian said, the team in Siemens Gamesa is really very laser focused on all potential to ensure that we get there. And I think it's important that maybe I'll outline a few things even relating to Q3. There is the onetime tariff impact, and it is onetime in nature because this is related to service agreements whereby their legacy service agreements, we can't really pass those costs on. So that is onetime in nature, again, kind of showing the dip, if you'd like, in Q3. And the second is the regular annual update that happens in Q3, of course, also impacted, like I said, with a high double digit. If you take those 2 out, there is an underlying operational performance improvement based on the productivity measures and what's happening with offshore. So if you take those out, then, of course, you can back into a Q4 number which gets us to the around 1.3% for the year. But it's very much a diligent process that the Siemens Gamesa team is undertaking month by month, quarter-by-quarter, again, to get us to this breakeven next year. Also to remember, I think I need to stress that for next year, the breakeven is by the end of the year, right? So we're going to continue to ensure that we are breakeven by the end of fiscal year '26.
Max R. Yates: Sorry. But just to be clear, it's breakeven for the -- when we take the entire profit, right? It's not just you're going to do a quarter of breakeven. It's the entire profit of the year.
Maria Ferraro: No, no, no. Correct, correct. The entirety of the year. But -- yes, exactly. So take that into consideration, Max. Mathematically, for the year, we will be breakeven. Thank you.
Tobias Hang: Next question goes to Ajay Patel from Goldman Sachs.
Ajay Patel: I guess I wanted to expand on wind also. Look, this quarter, you did very well on the order intake side. We saw 2 good projects come from on offshore. And I'm just thinking of the picture going out and what you have as a preferred bidder status on offshore then maybe look forward to add additional growth? And is that picture accelerating as we go towards 2030? It seems like there's a lot of orders that have gone through auctions in the utility part of the sector, and these haven't yet firmed up for any manufacturer. And I just wondered how you fit into that?
Christian Bruch: I have to say I'm struggling a bit from the top of my head to give you, let's say, the preferred supplier order of magnitude roughly. But obviously, the outlook towards '28 is relatively sound, right? I mean that's -- they're in place. And there is obviously discussions ongoing either preferred supplier status like, let's say, Japanese ones, the Korean ones, what we have communicated before, which stretch out into 2030, 2031. The question will be really now, okay, do they really come to final investment decision? Do they close and then move forward? Fundamentally, how I look on it, obviously, is we still believe the offshore market is very, very sound and available, but not on the flight level, which was originally assumed. And this is why we also are very carefully planning today's growth, particularly if it comes to ramping up capacity on sites and rather look on productivity measures than really building new sites or so. And that is something one has to see. But I think we look with interest now on auction on 7 in the U.K. This will be very, very interesting what comes out of this. And this will be also, I think, a sign for the rest of Europe on how to make an auction successful or not successful, but hopefully successful.
Tobias Hang: Next question goes to Gael de-Bray from Deutsche Bank.
Gael de-Bray: Can I ask about the order dynamics in gas? I mean 9 gigawatts, I think you said in the quarter. I mean that's pretty spectacular, especially when comparing to GE Vernova, which bagged, I think, only 5 gigawatts over the same period. So I'd like to understand, firstly, the selectivity process here and the risk that you're taking perhaps a bit too much on board? And secondly, the competitive dynamics, I mean, especially in the U.S., are your peers more capacity constrained than you are, meaning that you're offering better delivery times? And then if I may, just a clarification. on one of the comments you've had around pricing normalizing. So does it mean that prices are flat, coming back perhaps a bit down? Or is it rather that you're still raising prices, but at a slower pace than in prior quarters?
Christian Bruch: First of all, I would say, yes, it has been an absolutely excellent quarter of the Gas Services folks, and I'm really, really proud of them on what they achieved. And that is also really -- our business is also driven on how closely you interact with the customers and really how -- what is your style to develop projects. And they have done a tremendously good job. But don't, let's say, just look on the quarter at the end. I mean, also in comparison to others, we always have to look on full years. I think we are doing very good. The big plus, I think, for us has been the breadth of our portfolio in terms of frame sizes. And it's really for the first time that I see that across all frame sizes, there has been super high demand. And that was a very good success, and this allowed us to secure that order level. I think we are all roughly from flight level of delivery times, if you talk about a certain frame, similar. But obviously, you can answer a request with smaller frame sizes faster than with NHL, for example. In that regard, I think it was a very successful quarter and well done. Pricing is still good, I would say, the pricing environment. So I see it positive. But it's -- I always want to put it into perspective compared to 12 months ago. And I think what I'm seeing is that the increases obviously are getting a bit lower, but the pricing trends are still positive also going forward from our perspective.
Tobias Hang: So the next 3 questions go to Vivek Midha from Citi, Vlad Sergievskii from Barclays and Sean McLoughlin from HSBC.
Vivek Midha: Hopefully, a quick follow-up. On the last call, you mentioned the new German government's plans for 20 gigawatts of additional gas capacity. Has there been any update on potential timing of those tenders? I understand that this is still contingent on European Commission approving state aid.
Christian Bruch: Yes. We had luckily yesterday, our minister here at the site, looking at least on our gas turbines. So that's hopefully a good sign. And it's -- the discussions are progressing, if I understand her correctly, with the European Union. It's not concluded yet, but I think it's on a good path. And I always said, and I would also continue to believe like this that it's coming in 2 phases. So it's not 20 gigawatts in a go. But roughly, roughly assume it's, let's say, somewhat in the area of 50-50, so -- on how to split in the phases. So I believe over the next months, we see progress. Keep in mind that the first thing is that the government with our customers finds an agreement on how to structure it. And then obviously, the bidding on the equipment comes. So I would still look obviously towards calendar year next year, more or less for us, not anymore in this calendar year. But everything over here is positive in terms of getting this moving.
Tobias Hang: Thanks a lot. Next question goes to Vlad from Barclays.
Vladimir Maximovich Sergievskii: Very strong margin performance in Gas Services this year and this quarter. Going forward, and I'm thinking a few years forward, is there a material opportunity to increase profitability in the services part of the business and long-term service agreements in particular? Or most of future margin improvement for this division will likely be driven by, obviously, a very positive new equipment cycle? And also a follow-up to that, is there a point potentially when new equipment margin in gas could start being accretive for the overall margins of the Gas Services business?
Christian Bruch: Got you. We just have to because some of -- okay. Thanks a lot. First of all, in terms of how the service business is working, obviously, you book the long-term service agreement and then you work against it and also try to continuously improve it. This has been always the case also in the past. The one thing is the backlog margin. The question is, okay, how do you convert it afterwards to profits by finding new ways of doing things, 3D printing, smarter ways, AI and all the likes. We will continue to work on it. In terms of the booked service margin, it's a very gradual, let's say, increase. I don't see this as a big moving point. The big moving point for us has the improvement in being the -- improvement in the new unit margins, which is really across all frames now, and that is a big change. And these really provide the uplift in the average margin. I would frame it like this from today's perspective, the new units business is really an interesting business to do, which was not always the case like this. But obviously, what will not change is that the service margins are substantially higher than the new unit margins.
Tobias Hang: Next question goes to Sean McLoughlin.
Sean D. McLoughlin: Just coming back to Gamesa, I wanted to understand a little bit building on Max's question about the buckets. You now have a 7-megawatt turbine onshore coming to market in September. Am I right in thinking that you're still assuming almost no onshore deliveries in fiscal '26? Or are you already thinking that you might be able to secure awards, particularly in Germany that can contribute to fiscal '26? And if that's the case, how should we think about risks for further service pricing and cost adjustments as we go through fiscal '26?
Christian Bruch: First of all, absolutely, the -- I would not plan with larger onshore sales in '26, right? And if you see particular Germany, you bring it now to the market, you start to develop the projects. That will -- might lead to first order intakes in '27, but in particular, in Germany, it takes time because you have to obviously get the permitting in place for that turbine project, and this will take time. And in this regard, '26, no, it's really not a contributor to the revenue, which is significant. In terms of -- I have to now to reconcile the service piece itself, that's mainly really driven by getting the 4.X 5.X service in line with the reliability. We have now achieved roughly 80% of the 4.X and 5.X orders what we had in our books with a takeover certificate. So that's the volume which now comes into service and obviously, with increasing reliability and availability. And that is a major contributor to build the profitability next year. But it also means they need to continue to grow the availability month over month over month based on the refurbishments what have been done and are happening at the moment.
Sean D. McLoughlin: Just to confirm that I've understood. So you wouldn't expect first order intake for the 7-megawatt turbine potentially until '27.
Christian Bruch: Could you just repeat it, the reception is bad, sorry.
Sean D. McLoughlin: Did I understand correctly that the first order intake for the 7-megawatt turbine could potentially be in fiscal '27?
Christian Bruch: Correct. Correct. This is how I would look on it.
Tobias Hang: Yes. Unfortunately, we are running out of time. So I will take one more last question, which goes to Will Mackie from Kepler Cheuvreux.
William Mackie: I'd go back to Gas Services, please, and work on the discussion about conceptually where you can go or where you might go as a group with your capacity planning. You've planned to increase the capacity as you've signaled on medium and large-sized turbines out for '26 and '27. Perhaps to basically specify how that compares with the run rate at '25 in terms of the capacity? And then how you see the supply chain set up to go beyond that if you're ready into '27, '28 with additional shifts or expansion and pulling your suppliers with you. So just a medium-term view on new build GS capacity planning into the '26, '28 period.
Christian Bruch: Well, it's getting complicated. No, I will try to do this. First of all, compared to this year, more or less, I would see -- I mean, it's mainly coming from the midsized gas turbines is what you're going to see. And this in totally, if I look -- it's always a question if you look on gigawatt or you look on number of turbines, obviously. But if I look on gigawatts, probably towards next year, 10%-ish roughly increase. And then obviously, the big chunk comes in with a large gas turbine increase. And as we said, this is around 25% to 30% in '27. No I have to -- supply chain. Thank you. Sorry. The supply chain. And obviously, what we are doing parallel to this, we started this roughly 15 or 18 months ago to extend the supply chain on the blades and wanes is one thing, right, with external suppliers as well as in our own factory. This takes normally quite a time to ramp it up. So this will be a continuous process, and that is one of the big constraints in the next 2 years, at least while we're growing this pipeline. And the other thing is that we continue to do other agreements. There is a, let's say, smaller company which we bought on the supply chain side, just to strengthen the supply chain. Not everything is public yet, but where we build around it to ensure that we can really deliver that growth level. So that is happening while we speak. So -- but it's really step after step after step.
Tobias Hang: Christian, we can squeeze in one last question, which will be Ben Uglow from Oxcap.
Ben Uglow: A lot of my things have been answered. But one question I had, that 3 gigawatt number out of the 9 gigawatts for data centers is pretty eye-catching. Christian, can you just give us a kind of qualitative sense of what -- where is that coming from? What type of machines is it? I think in the commentary, you talked -- you kind of gave us a breakdown between midsized machines and large machines. Just give us a sense of what type of turbine is being ordered.
Christian Bruch: Ben, thanks for the question. Also, they're across the board, but particularly in the last weeks, you see a lot of midsized multi-trains type of solutions. or like F frames, right, because they're simply fast available. The longer you stretch it out, if you look, then you're also getting back to HL. But we've seen in particular on the F frames, a track record, which is a good balance between size and speed. And this was driving it, but obviously, you will need it across the board. It depends a bit who's your customer, I also have to say, from which field they're coming rather from the gas field or rather from a classical data center operator, but this is how I look on it.
Ben Uglow: And am I correct to think that you've got no significant HL orders contracted in backlog for data centers?
Christian Bruch: For data centers. From the top of my head, I'm struggling. I think we had a couple of, right? I mean, I'm -- yes, but potentially not in the U.S.
Ben Uglow: Understood. So this is really an F-class phenomenon, basically.
Christian Bruch: Yes. And obviously, you now see other markets coming up and this look into HL units, but that was a logic in the -- which particularly has driven the U.S.
Tobias Hang: Thanks a lot. So that would conclude our Q&A session. Christian, any closing remarks from your side?
Christian Bruch: See you at the Capital Market Day in person, I would say. No, thank you very much for your attention. In a volatile world, and I'm really proud of what the team has achieved step after step. We're getting there and look forward to speak to you soon in person, hopefully. Thank you.
Tobias Hang: Thank you, everyone, for participating today. As always, the team and I will be available for further questions. So thank you very much. With that, we conclude this call.
Maria Ferraro: Thank you, everyone. Bye-bye. .
Operator: That would conclude today's conference call. Thank you for your participation, ladies and gentlemen. A recording of this conference call will be available on the Investor Relations section of the Siemens Energy website. The website address is www.siemens-energy.com/investor-relations. Have a good day. Bye-bye.